Operator: Greetings and welcome to the FleetCor Technologies Third Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Eric Dey, CFO. Thank you, sir. Please go ahead.
Eric Richard Dey - FleetCor Technologies, Inc.: Good afternoon, everyone, and thank you for joining us today. By now, everyone should have access to our third quarter press release. It can be found at www.fleetcor.com under the Investor Relations section. Throughout this conference call, we will be presenting non-GAAP financial information, including adjusted revenues, adjusted net income and adjusted net income per diluted share. This information is not calculated in accordance with GAAP and may be calculated differently than other companies' similarly titled non-GAAP information. Quantitative reconciliations of historical non-GAAP financial information to the most directly comparable GAAP information appears in today's press release and on our website, as previously described. Also, we are providing 2017 guidance on both a GAAP and non-GAAP basis, with the reconciliation of the two. Finally, before we begin our formal remarks, I need to remind everyone that part of our discussion today will include forward-looking statements. This includes forward-looking statements about our 2017 guidance, new products and fee initiatives, and expectations regarding business development and acquisitions. They are not guarantees of future performance, and therefore, you should not put undue reliance on them. These results are subject to numerous risks and uncertainties which could cause actual results to differ materially from what we expect. Some of those risks are mentioned in today's press release on Form 8-K and on our Quarterly Report on Form 10-Q filed with the Securities and Exchange Commission. Others are described in our Annual Report on Form 10-K. These documents are available on our website, as previously discussed, at www.sec.gov. With that out of the way, I would like to turn the call over to Ron Clarke, our Chairman and CEO.
Ronald F. Clarke - FleetCor Technologies, Inc.: Okay. Eric, thanks. Hi, everyone, and thanks for joining the call this afternoon. Up front here, I'll plan to cover three subjects. First, I'll comment on the quarter and rest of year outlook. Second, I'll provide a brief update on some recent developments, happenings in the company. And then, lastly, I'll talk a bit about our way forward from here and the opportunities that we see. Okay. So, onto the quarter. We reported earlier good Q3 results. In fact, a bit better than our internal expectations. We reported revenue of $578 million, up 19%, and cash EPS of $2.18, up 13%. That exceeded the high end of our guidance range. The Q3 macro was positive, lifted revenues about $3 million in the quarter but unfavorable interest rates and unfavorable tax rates against the prior period took the favorability back. Same-store sales picked up, were 2% positive in the quarter. And importantly, customer retention was 91%. That makes 10 consecutive quarters of 90%-plus customer retention. The hurricane impact was basically a push for us overall. It did hurt our fuel card businesses that operate in Texas and Florida, but it did help our lodging business generate some incremental room nights through our FEMA contract. Everything now is back to normal. In terms of organic growth, revenue growth overall in the company, 8% for Q3, and our fuel card line of business, 6% for Q3. The GFN MasterCard conversion earlier in the year negatively impacted both our fuel card and overall organic growth, implying that the Q3 fuel card organic growth would have been about 3% better, so 9% instead of 6%, and our overall growth also would have been 9% instead of 8% if the MasterCard product line had come in on plan. In terms of drivers for the quarter, a few. So first up, STP, which we own for the full quarter this year, added over $50 million of incremental revenue. It did grow 20% in local currency on a pro forma basis, which is terrific. And the STP credit losses were about half of the prior year's level. We did that through moving new accounts, a lot of new accounts to prepaid, and implementing a new professional underwriting and collections group. So, really good performance. We did get help in the quarter from the organic growth, particularly in our lodging and corporate payments businesses, lodging, up 18%, corporate pay, up 17%. Speedway helped us in the quarter, now, 95% converted. We did have some transactions in the quarter, the NexTraq telematics business out, the Cambridge international payments business in. Bad mix gave us a bit of incremental revenue but no incremental profit. The MasterCard business, as I mentioned, did go backwards in Q3 versus the prior period, but fortunately, it's consistent with our estimates from earlier this summer. Again, about a $15 million revenue shortfall for the second half versus our plan is still where we are. And then, lastly, we did get held from 2 million fewer shares in the quarter that was driven by the share buyback program. In terms of sales results, a terrific Q3. Sales grew 23% in the quarter versus the prior year. That sets an all-time record sales result for us. So, really positive, new accounts onboarding our programs. Q3 cash flow, very strong, $240 million. That's up a lot from earlier in the year. So look, across the board, a pretty good quarter, profit growth coming in above our expectations, record sales, organic growth mostly in line with what we're looking for outside of the GFN MasterCard thing, accelerating STP performance, and finally, a tailwind, a little cooperation from the macro environment. So, we're pretty pleased. Okay, let me transition over to our rest of year outlook. So starting with the macro, we think continued favorable Q4 environment. Expect higher fuel prices and favorable FX, but unfortunately, a continued drag from higher interest rates. So these assumptions, along with our current trends, result in the following 2017 guidance adjustments. We're raising full-year 2017 cash EPS guidance today to $8.43 at the midpoint. This reflects our $0.05 beat in Q3, the $2.18 versus $2.13, and a $0.04 raise in Q4 to $2.30 per share to reflect a stronger macro environment. So, the $8.43 would represent a 22% growth versus 2016's $6.92 print. So just if you recall, we did open guidance at the beginning of the year in January outlooking $8.20 for full-year cash EPS and have raised that every quarter, from $8.20 to $8.31 to $8.34 to $8.43 today. Okay, let me shift gears and talk about some recent developments company-wide. So first up, we announced a closing of a lodging tuck-in acquisition called CLS, which has got about $20 million in revenue. It's a pretty interesting business, looks a lot like our CLC business, except it targets a different market segment. CLS focuses on polo shirt project people rather than blue collar or boots people, and these project people tend to stay longer, six nights plus. So, that gives us a new market segment to target. As part of the deal, we've identified some meaningful synergies, particularly on the hotel network side. We expect to arbitrage our better hotel rates as we bring the companies together. And some good news, the founder and his management team have agreed to stay on to keep running the business and help us with the integration plan. Second development, we did enter into a new major oil outsourcing contract with a Gazprom subsidiary in Russia. So, we'll provide full fuel card outsourcing services, much like we do for BP, Shell and Speedway. It represents about a $10 million revenue addition next year for us. And our hope is that it may further credential our capabilities with Gazprom or LUKOIL or Rosneft in Russia, maybe leading to more work with them over time. Third development, we did close Cambridge in August, the international FX payments company. We're now well into our transformation initiatives with them. Just a couple things that I'd call out. So Cambridge, historically, has focused on pretty small accounts. About 10,000 of their 13,000 clients are quite small, have low rates and pretty high service requirements. So, we're going to move away from these kind of super small accounts to more mid-sized or mid-market accounts that have a much more attractive profit pool. We're also going to refocus the sales efforts away from these small accounts and we're going to put way more sales emphasis on the U.S. geography versus the Canada geography. So, a little bit of a refocusing for Cambridge. Last thing going on, we are continuing to try to innovate and refine and test some new, new things in the company. So, just a couple of examples. At STP, we're continuing to work on this pilot we call Fuel First. The idea there is to have a fueling-only program in Brazil, that Shell stations in Brazil, that would use STP's free flow RFID technology to speed drivers basically through the fuel refueling process without ever getting out of their car. And so, the idea is to move from not only highway or toll drivers only, but to be able to target now kind of city or suburban drivers who don't go on the highway. Another new, new thing we're piloting is what we call Beyond Fuel. We're trying to open up our fuel cards to allow purchasing of adjacent spend categories like construction supplies or maintenance or lodging. Very positive reaction so far, although lots to do for us, lots in the marketing, positioning, credit side, but interesting start there. We've also introduced what we think is the world's simplest fuel card customer UI. It allows a small business to interact with us in a really easy and intuitive way. The interface looks like a smartphone icon where you just toggle card parameters on and off. So, quite positive. And then, finally, we're testing what we call full AP outsourcing in our corporate payments business. So rather than going to a client and paying only a portion of their AP electronically with a virtual card, we're going to go to prospective clients and say, hey, we'll take 100% of your AP and we'll pay it with a virtual card with ACH or even with a paper check. So, we think this will appeal to certain market segments, particularly smaller accounts that may not subscribe to just the virtual card offer. So, message here is a lot of new things being worked across the company. We're trying to attract new client segments, widen our opportunity. We're trying to capture some more existing spend from clients or frankly, just to make it easier for our clients to work with us. Okay, so last up here are my thoughts on our way forward from here. So over the last three or four months, we've made a major push to: one, refine the objectives, goals for the company; two, to simplify the company and the portfolio or the lines of business that we're in; and three, to better prioritize our growth plans from here. So in terms of objectives, we want to reiterate our commitment to being a fast growth company. We like fast growth and we want to offer top quartile growth. So, we're reiterating our mid-term profit growth target of 15% to 20%. We'll continue to augment organic growth with acquisitions if they make sense or alternatively, we'll return capital in a more deliberate and consistent manner, if they don't. Second, in terms of the portfolio, we really are rebalancing and simplifying our portfolio or lines of business really into four spend categories. So fuel, lodging, AP, and tolls. All of our acquisitions this year, Cambridge, CLS, and the Russia deal, have been about deepening our position in these existing four spend categories. We think each of these four categories has enormous potential. For example, the fuel card category alone, we estimate to have about $25 billion in global opportunity and our current revenue is only about $1 billion. We do have a simple and unifying theme throughout the company. So every line of business, irrespective of the product line, the brand or even the geography has one purpose: to offer clients a better way to pay, an easier way to pay than their current method. I know it's simple but it's a shared purpose for all of us. And then, last, in terms of growth, our growth plan is basically three-fold. One, we want to add more clients. We've got about 800,000 clients today that we serve. We're going to invest more in sales and marketing outreach. We're going to try to develop new, new things that I mentioned earlier. So, more clients. Two, is we want to capture more spend. So, we're going to go to existing clients, try to capture some of their adjacent spend. We may be, over time, at a fifth spend category to the four that we're in today. And then, third, we want more geography. We want to be deeper in Continental Europe, deeper in Asia, and again, we've only begun to play in those regions. So, not very complicated but hopefully clear. So look, in conclusion, we believe we've got a business with terrific fundamentals in large markets. We've got advantage positions in the spend categories that we serve, including a world-class fuel card franchise. So, we hope that you share our excitement for continuing to build an even bigger, more diverse and more innovative payments company over time. So with that, let me turn the call back over to Eric. He'll provide some additional detail on the quarter. Eric?
Eric Richard Dey - FleetCor Technologies, Inc.: Thank you, Ron. For the third quarter of 2017, we reported revenue of $577.9 million, up 19.3%, compared to $484.4 million in the third quarter of 2016. The revenue from our North American segment increased 5% to $364.4 million, from $345.9 million in the third quarter of 2016. However, excluding the NexTraq business which was sold in July, from both the 2016 and 2017 results, revenue growth in our North America segment would have been 9%. Revenue from our International segment increased 54% to $213.4 million, from $138.6 million in the third quarter of 2016. For the third quarter of 2017, GAAP net income increased 56.5% to $202.8 million or $2.18 per diluted share, from $129.6 million or $1.36 per diluted share in the third quarter of 2016. Included in the GAAP numbers for the quarter are the impacts of selling the NexTraq business and changes in our investment arrangement in Masternaut that caused our accounting to change from the equity to cost method, as we executed on our plan to exit the telematics space. The net impact of these events resulted in an approximate $65 million or $0.69 per diluted share favorable impact on our GAAP results. We have excluded the impact of these events in our adjusted net income and adjusted net income per diluted share numbers. The other non-GAAP financial metrics that we routinely use are adjusted revenues and adjusted net income, which we sometimes also refer to as cash net income or cash EPS. Adjusted revenues equal our GAAP revenues less merchant commissions. A reconciliation of adjusted revenues and adjusted net income to GAAP numbers are provided in Exhibit 1 of our press release. Adjusted revenues in the third quarter of 2017 were $550.2 million, up 20.6%, compared to $456.2 million in the third quarter of 2016. Adjusted net income for the third quarter of 2017 increased 10.6% to $202.8 million compared to $183.3 million, and adjusted net income per diluted share increased 13.4% to $2.18 compared to $1.92 per diluted share in the third quarter of 2016. Third quarter results reflect the impact of a macroeconomic environment. Changes in foreign exchange rates from the third quarter of 2016 were primarily positive, and overall, we believe positively impacted revenue during the quarter by approximately $4 million. Fuel prices were mostly favorable during the quarter, and although we cannot precisely calculate the impact of these changes, we believe positively impacted revenues by $6 million. And finally, spreads were unfavorable as fuel prices increased during the quarter, and we believe negatively impacted our revenue by approximately $7 million. So in total, the impact of those changes positively impacted our third quarter revenues by approximately $3 million and adjusted net income per diluted share by approximately $0.04 versus the third quarter of 2016. The impact of the macro was mostly in line with our expectations for the quarter. Organic growth was approximately 8% for the third quarter of 2017. Now, let's shift over and discuss other drivers of our third quarter performance. Most of our major product categories performed well during the quarter. Our fuel card business grew 6% during the quarter on a macro neutral basis. And as a reminder, the fuel card business was impacted by the MasterCard conversion issues earlier in the year, which continue to negatively impact volumes and revenue for the portion of that MasterCard portfolio that was converted. And please note that if the MasterCard portfolio would have been at budget, we believe fuel card organic growth would have been approximately 9%. The corporate payments category continues to grow well and was up 17% organically during the quarter. Our STP business was up 20% organically and our lodging business was up 18%. The gift business was down 6% organically, due primarily to the timing of card orders received. So all in all, another solid quarter for our business. Now, moving down the income statement. Total operating expenses for the third quarter were $345.2 million compared to $293.4 million in the third quarter of 2016, an increase of 17.7%. As a percentage of total revenues, operating expenses decreased to approximately 59.7% of revenue compared to 60.6% in the third quarter of 2016. Included in operating expenses are merchant commissions, processing expenses, bad debt, selling and general and administrative expense, depreciation and amortization expense, and other operating net. Included in the third quarter of 2017 operating expense was stock-based compensation of $25.1 million compared to $18.1 million in the third quarter of 2016. Credit losses were $8.3 million for the third quarter or 5 basis points, compared to $10.8 million or 7 basis points in the third quarter of 2016. The decrease in bad debt was primarily due to improvements in bad debt in our STP business, resulting from a move to more prepaid and implementation of a more professional underwriting and collections organization. Depreciation and amortization expense increased 21.1% to $69.2 million in the third quarter of 2017, from $57.1 million in the third quarter of 2016. The increase was primarily due to the STP acquisition. Interest expense increased 64.7% to $29.3 million compared to $17.8 million in the third quarter of 2016. The increase in interest expense was due primarily to the impact of additional borrowing for the STP and Cambridge acquisitions, and increases in LIBOR. Other income of $175.3 million was almost all from the pre-tax gain on sale of the NexTraq business of approximately $175 million. Equity investment loss increased to $47.8 million in the third quarter of 2017 versus a loss of $2.7 million in the third quarter of 2016. Included in the third quarter of 2017 was an impairment loss of $44.6 million resulting from changes in our investment arrangement in Masternaut that caused our accounting to change from the equity to cost method, as we executed on our plan to exit the telematics space. The write-down was primarily due to write-off of historical FX losses previously recorded in equity on the balance sheet. We also reported a loss on extinguishment of debt of $3.3 million due to the refinancing of our existing debt facilities to help finance the acquisition of Cambridge. Our effective GAAP tax rate for the third quarter of 2017 was 38.1% compared to 23.8% for the third quarter of 2016. The 2017 tax rate includes the gain on sale of the NexTraq business of approximately $175 million, all at the higher U.S. tax rate, and the Masternaut impairment charge in the quarter. Our cash tax rate in the quarter was 29.4%, excluding the impact of the NexTraq sale, equity method impairment and loss on early extinguishment of debt. The 2016 tax rate was favorably impacted by a onetime recovery of purchase price from our equity method investment that favorably impacted pre-tax earnings, but was not subject to income tax. The 2016 rate was also favorably impacted by higher excess tax benefits on share-based compensation in the third quarter of 2016 versus the third quarter of 2017. And as a reminder, a change in accounting for stock-based compensation for tax purposes went into effect January 1, 2017, which resulted in the excess tax benefit on share-based compensation to be part of the effective tax rate, and which the company adopted in the third quarter of 2016. This standard also requires the recasting of prior year results for comparability. Now, turning to the balance sheet. We ended the quarter with $1.018 billion in total cash. Approximately $184 million is restricted and consists primarily of customer deposits. As of September 30, we had $2.690 billion outstanding on our term A loan, $350 million outstanding on our term B loan and $673 million drawn on our revolver, leaving $612 million of undrawn availability. We had $794 million borrowed in our securitization facility at the end of the quarter. In the third quarter, we completed our previously announced $250 million accelerated stock repurchase program and also repurchased an additional $100 million of common stock out of the current authorized share repurchase program. In total, we purchased 2.4 million shares in the third quarter and a total of 4.1 million shares of common stock since the beginning of the program in 2016. In addition, our board increased the share repurchase authorization from the $160 million remaining in the existing authorization to a new total of $510 million, so a $350 million increase in the share buyback program. As of September 30, 2017, our leverage ratio was 2.53 times EBITDA, which is well below our covenant level of 4.0 times EBITDA as calculated under our new credit agreement. We intend to use our future excess cash flow to temporarily pay down the balance on our revolving credit facility and securitization facility, and maintain liquidity for acquisitions and other corporate purposes. Finally, we are not a capital intensive business, spending approximately $17 million on CapEx during the third quarter of 2017. Now, onto our outlook for the remainder of 2017. First, I want to update you on our latest thinking about the macroeconomic environment for the balance of the year. The good news is that, in total, the macro came in mostly where we thought it would be in the third quarter. The current trend is for fuel price to be slightly ahead and market spreads to continue to be at our prior guidance level for the balance of the year. We also expect foreign exchange rates to continue to trend a little favorably compared to our prior guidance, and interest rates to be a little worse. So in total, we are expecting the fourth quarter macro to be $0.03 to $0.04 favorable to our prior guidance. With that said, our financial guidance for 2017 is as follows: total revenues to be between $2.225 billion and $2.255 billion; GAAP net income between $608 million and $618 million; GAAP net income per diluted share to be between $6.50 and $6.60; adjusted net income to be between $784 million and $794 million; and adjusted net income per diluted share to be between $8.38 and $8.48. This guidance represents approximately a 22% growth in both revenue and adjusted net income per diluted share for the year at the midpoint of the range. Some of the assumptions we've made in preparing the guidance include the following: weighted fuel price equal to $2.57 per gallon average in the U.S. for the fourth quarter, for those businesses sensitive to the movement in the retail price of fuel; market spreads at historic levels. No change from prior guidance; foreign exchange rates equal to the seven-day average as of October 5, 2017, a slight increase from prior guidance; interest expense of $110 million for 2017 and fully diluted shares outstanding of 93.5 million shares; a fourth quarter tax rate of 29.2%. Fourth quarter guidance reflects the sale of the NexTraq business and the acquisition of Cambridge in the third quarter, and a neutral impact in adjusted net income from the CLS acquisition and new partner agreement in the fourth quarter; and no impact related to acquisitions or material new partnership agreements not already disclosed. So with that said, operator, we'll open it up for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. In the interest of time, we ask that you please limit yourself to one question and one follow-up. Our first question comes from Ramsey El-Assal of Jefferies. Please proceed with your question.
Ramsey El-Assal - Jefferies LLC: Hey, guys. Thanks for taking my question. I wanted to ask in the context of this new Russia deal, how the European outsourcing pipeline looked specifically for these sort of smaller regional programs. Forgetting about the giant brands that we've, I think, all been focused on for a while, is there more movement in the pipeline on the smaller end, not just in Russia but across Europe? And maybe will that be the sort of thin end of the wedge when it comes to opening up the market?
Ronald F. Clarke - FleetCor Technologies, Inc.: Ramsey, I don't think we know. We've called this wrong so many times, I kind of hate to go out on a limb with you. But look, every one of these incremental, I think, helps, right, maybe builds more confidence for other people to take the leap. And yes, there are smaller guys wading into the RFP stage now. So, I'd like to sound even more hopeful, but given our past, I'm trying to be a little bit cautious.
Ramsey El-Assal - Jefferies LLC: All right. That's absolutely fair. And then, I wanted to ask about the Walmart agreement. I get the sort of acceptance side of that, but should I read that press release that now Walmart trucks in the U.S. are going to be using FleetCor cards? And can you just help us sort of size that deal?
Ronald F. Clarke - FleetCor Technologies, Inc.: Yes. You're reading it right. It's a two-part deal. One is an exclusive acceptance deal for our kind of commercial cards which should be quite helpful to us, right, because of their pricing. And the other one is really a competitive win. This is what we would call their light vehicle segment. Think of people driving around to their stores doing servicing versus the big trucks doing delivery. So, it's about, oh, I think it's just around 4,000 employees or vehicles, and it's $1 million-ish-plus kind of contract, I'd say, in that ballpark.
Ramsey El-Assal - Jefferies LLC: All right. Got it. That's very helpful. Thanks a lot.
Operator: Our next question comes from Sanjay Sakhrani of KBW. Please proceed with your question.
Sanjay Sakhrani - Keefe, Bruyette & Woods, Inc.: Thank you. I guess my first question is on the MasterCard conversion. I was just wondering when we think about its impact going forward and relative to the previous quarter, does it deteriorate sequentially? And then, how should we think about it going forward?
Ronald F. Clarke - FleetCor Technologies, Inc.: It's Ron again. So, the first thing I'd say is it's kind of going like we called it. So, we've made an estimate back three months ago and it's kind of stayed on that curve. So sequentially, it's basically flat kind of over this due course, inching up a bit, we think, in this quarter. And again, it's about $15 million off of our plan in the second half. So, I think the way you ought to think about it, it'll be soft again in Q1 because this thing happened at the end of Q1, and then, start to lap at – when we get into the end of the second quarter next year.
Sanjay Sakhrani - Keefe, Bruyette & Woods, Inc.: Okay. And then, Ron, your comments on the four segments that you outlined, is it fair to assume that then those are sort of the core segments that you're going to focus on or could there be other areas that you'd sort of plug into the model? Thanks.
Ronald F. Clarke - FleetCor Technologies, Inc.: Yeah. Again, we're – I think that's a great question. We're more, as you guys know about the model, but I do think we want a simpler company both to operate and communicate. So I'd say, evidenced by the deals that we've done this year, we're hunting a lot in those kind of four spend categories. But as you can imagine, there are two or three spend categories that look a lot like the four we're in in terms of their structure. So, I want to call out, hey, don't get shocked if we found our way into a fifth one. But with that said, I think you should assume the priority are these four.
Sanjay Sakhrani - Keefe, Bruyette & Woods, Inc.: Okay. Thank you.
Operator: Our next question comes from Darrin Peller of Barclays. Please proceed with your question.
Darrin Peller - Barclays Capital, Inc.: Thanks and nice job, guys. I just want to start off. I mean, you obviously had, even Beyond Fuel, you had good growth over your main non-fuel card businesses. Really, I think I saw acceleration across all three of them. CLC growth was particularly strong. Maybe if you can comment on what the hurricanes actually did to benefit that? And then, what are the CLS deal economics, in terms of what does this contribute to you guys? And then, a quick follow-up would be on the other two areas. I mean, 19% growth in tolls. I know pricing probably kicked in there and corporate also. How sustainable are those trends in the high-teens?
Ronald F. Clarke - FleetCor Technologies, Inc.: That, Darrin, is a multi-part question. Let me try to go back to your first one. So CLC, yeah, very good Q3, so kind of really three reasons. One is because it's been doing well. So, we're obviously selling a lot more business than we're losing. So just, one is the momentum we've had. Two, is we're now on the plus-side of the same-store sales. We were up 3%, 4% on same-store there. And if you recall a year ago, we were actually the other side due to the railroads and stuff. So, we've lapped that now and it thing is...
Darrin Peller - Barclays Capital, Inc.: Yeah.
Ronald F. Clarke - FleetCor Technologies, Inc.: ...back helping us. And then, I don't have it in front of me but I'm going to guess we probably got, I don't know, 2 or 3 points to grow in Q3 from the incremental hurricane room nights. We'll probably, depending on the shape of that, get even a bit more here in Q4. So, those would be the three drivers. Solid on its own, same-store on the plus column and a few points from the incremental FEMA rooms.
Darrin Peller - Barclays Capital, Inc.: All right. That helps.
Ronald F. Clarke - FleetCor Technologies, Inc.: The second one was CLS?
Darrin Peller - Barclays Capital, Inc.: Yeah. Just the economics around – I mean, if you can give us more color on what kind of contribution that you have.
Ronald F. Clarke - FleetCor Technologies, Inc.: Yeah. So, the economics looks – it's kind of a look-alike to CLC. So if you think about both businesses, there's a street price for a room, let's say, it's $100. We have a buy rate based on volume, let's say, of $70, to pick a number, and we offer it to the customer at $80. So, the customer gets $20 off the lowest street price. We make $10 of trend between the buy and the sell price.
Darrin Peller - Barclays Capital, Inc.: Yeah, yeah.
Ronald F. Clarke - FleetCor Technologies, Inc.: It's the same exact model for CLS.
Darrin Peller - Barclays Capital, Inc.: And is it a material contribution to your CLC overall segment now?
Ronald F. Clarke - FleetCor Technologies, Inc.: Yeah. I mean, it's good for a couple of reasons. One, is we've been studying other segments, things that we're not in, like the airline distress segment, as an example, the insurance segment is a segment. And then, this one which, internally, we kind of call it the project segment, long stay segment people, 10 guys on a consulting trip that go for 15 days. So, they buy whatever, 80, 90 rooms. So, this company was kind of targeting that area and has a distribution model and a reference base to go get that. So, that gets us into a market segment that we haven't been in in a big way. But the great news is it uses almost an identical hotel supply side network, and obviously, we've got 10 times, if you will, the volume in our network. And so, we'll pick up, obviously, a lot of synergy there.
Darrin Peller - Barclays Capital, Inc.: Okay. Just quickly, the toll side. Pricing did kick in, I guess. I mean, does that growth there fell (41:50) almost 20%?
Ronald F. Clarke - FleetCor Technologies, Inc.: It did. I think I try to say things to come through to you, guys. So I think we said, hey, we're hoping to get to 20% at STP this year as we're exiting the year, and we got there a bit sooner.
Darrin Peller - Barclays Capital, Inc.: Yeah.
Ronald F. Clarke - FleetCor Technologies, Inc.: So, we did print 20% for the quarter. We're out looking about the same, 20% for this quarter that we're sitting in. And yes, I'd say this quarter, we will be fully implemented with whatever pricing we're going to put in. We'll be in before we break for the holiday.
Darrin Peller - Barclays Capital, Inc.: Okay. That's great. All right. Congrats, guys. Thanks.
Ronald F. Clarke - FleetCor Technologies, Inc.: Thanks, Darrin.
Operator: Our next question comes from Danyal Hussain with Morgan Stanley. Please proceed with your question.
Danyal Hussain - Morgan Stanley & Co. LLC: Hi. Thanks for taking my question. Just, Ron, following up on that comment you made about moving to full accounts payable outsourcing for corporate payments. That sounds like it would fit you, I think, more directly with a lot of large commercial banks. Could you just talk a little bit about how or remind us how you're differentiated, not just in the virtual card product, but in, ultimately, how you would be differentiated throughout accounts payable? Thanks.
Ronald F. Clarke - FleetCor Technologies, Inc.: Yeah. I think it emanates out of the research that we did. And so, as we start to go down market going into a smaller AP shop and pitching the virtual card as a new concept, is just a bit more difficult for people to follow, hey, which vendors will take it, what percent of the payments is it, what do I do with the rest of the stuff. And so, there's been other people in the marketplace that have done this full AP outsourcing, a private company, in fact. It's a partner of ours called Avid. So, we went into test, oh, six months ago, I guess, back into spring to sign up the first kind of 20 or 25 accounts. And what I'd say is it's got a different appeal, which is really about simplicity for the account, more than it is about economics or anything else. And so, I think the answer is that we think it'll be quite additive, that we'll be able to take that thing, target a bit smaller set of prospects for that, and obviously, grab more of the value chain as well. Obviously, there's more dollars, grabbing the bigger piece of the AP. So, I'd say that it's just an extension of what we're doing but we'll be probably pretty additive.
Danyal Hussain - Morgan Stanley & Co. LLC: Got it. Thanks. And then, just a question on – a two-part question, I guess, on gift and then organic growth. The gift was slow (44:32), you were able to accelerate through that. So, just talk a bit about your outlook for gift and what the plan is there. And then, more broadly, how you're thinking about organic growth and you think (44:42) against the context of your 10% target that you've historically focused on? Thanks.
Ronald F. Clarke - FleetCor Technologies, Inc.: Yeah. So on the gift – Ron, again, that business gets revenue from both processing and some margin on cards, custom cards for custom accounts, and so, it's bumpy. And so, based on kind of shipping, it could have a really strong Q2 versus prior year, and then, a weak Q3 or vice versa. So, it's a business that doesn't analyze well by quarter. It analyzes way more clearly by year. And so, by year, it's going to be the same this year as last year, kind of a low single-digit grower, 2%, 3%, 4% when all the dust settles for the year. And that's not different than it's kind of been since we bought it or different than what we planned. And yes, I know there's an old adage with the World Series on, three strikes and you're out. But we're actually exploring yet a third idea. Our first idea was to look at selling the business if we get the right price, but we didn't like that with the tax leakage. Our second idea was to do this thing with First Data, and the antitrust didn't like it as well. And now, we have a third idea that we're kind of excited about that we hope to report back on. So, that's what we're doing. We're exploring a third alternative for that and should have some news the next time we talk. On organic, yeah, we logged 8%. I think I mentioned in the opening that about a point of that was related to the losses from the MasterCard thing earlier in the year, so it would've been 9%. So, kind of around the goal, the range that we have. I'd say we're in the middle of our 2018 budget now, so for me to give you something other than our aspiration of trying to be in the 8% to 12% kind of range is still what we're trying to do. And given that we've got pretty stable client retention for a few years, it's really about the sales engine which was good this quarter. So I'd say, again, we'll be specific when we talk to you the next time, but I think our aspiration is really the same.
Danyal Hussain - Morgan Stanley & Co. LLC: Perfect. Thank you.
Operator: Our next question comes from Daniel (sic) [David] (47:26) Togut of Evercore ISI. Please proceed with your question.
Rayna Kumar - Evercore Group LLC: Good evening. This is Rayna Kumar for David Togut. It's good to see the 2% same-store sales in 3Q and I know you mentioned CLC was a driver. Are there any other key drivers in the quarter to that growth?
Ronald F. Clarke - FleetCor Technologies, Inc.: I had a little trouble with the beginning of the question. Can you just re-say it? You're not close to the phone. Just say it again.
Rayna Kumar - Evercore Group LLC: Could you just point out the key drivers to the 2% same-store sales growth?
Ronald F. Clarke - FleetCor Technologies, Inc.: Sure, sure. I got it. So, it's Ron again. So yes, I did mention that the CLC thing was up. Our corporate payments business, the base was super healthy other than the healthcare segments that we're in, a direct segment or reseller segment or construction segment, those things were super high single-digit, healthy, crazy, but the two markets have had been plummy (48:26), Russia and Brazil strengthened dramatically both of them in the quarter, both on the positive. The Brazil legacy business, without STP, was up 3%, 4%, and the Russia business was way up and our Mexico business were way up. So, three of the international markets that had been soft and kind of bringing the consolidated number down, were all in the positive. Our Comdata big account business was super healthy, too. It was 2% or 3% positive. So, lots of stuff kind of around flat, and then, those four or five that I called out, pretty positive.
Rayna Kumar - Evercore Group LLC: Great. That's really helpful. Could you quantify the third quarter revenue growth rate in the U.S. MasterCard products?
Ronald F. Clarke - FleetCor Technologies, Inc.: Which MasterCard product? I think I said at the opening that the converted portfolio was actually down. It was actually backwards. We actually had less revenue in Q3 of this year than Q3 of last year because we lost, I think I told you, a quarter or a third of that book of business. The rest of the portfolio of MasterCard on the print was up 16% in the quarter. So, it's a tale of two cities.
Rayna Kumar - Evercore Group LLC: Great. And just lastly, if you can talk about the third quarter revenue and earnings growth rate at Cambridge, and your expectations for 2018?
Ronald F. Clarke - FleetCor Technologies, Inc.: Yeah. We owned – I don't have it in front of me, we've owned Cambridge for whatever, half the period. I have the full year. I think we're looking at 15% to 16% on a pro forma basis in the local currencies for this year, for calendar 2017. And again, I don't have it in front of me, but based on the thesis, the business case to buy the thing, similar, kind of somewhere in the 15% to 17% range, I think, was our outlook for 2018 for that business.
Rayna Kumar - Evercore Group LLC: Great. Thank you.
Operator: Our next question comes from Jim Schneider of Goldman Sachs. Please proceed with your question.
James Schneider - Goldman Sachs & Co. LLC: Good afternoon. Thanks for taking my question. Maybe if you just provide a little bit of a clarification on what you're seeing for the – whether you've actually restarted sales on the MasterCard universal product. I think you had talked about that being kind of a one to three-month lag. Can you confirm that those sales have restarted at this point? And if not, when will you expect to do that?
Ronald F. Clarke - FleetCor Technologies, Inc.: Jim, it's Ron. Yeah, that's a good question. Yes is the answer. We have. I think – what are we now, November? Sometime in October, early October, we began to resell on the same platform, right, that the thing came across. So, we want to make sure that the thing was not only stable but working well so that sales people that put new clients on it, were going to have a good experience. So, we can confirm that we're now back to onboarding new business there finally.
James Schneider - Goldman Sachs & Co. LLC: Good to hear. And then, maybe as a follow-up, regarding the corporate payments business, I think, Ron, you gave a little bit of color on how you're retargeting or refocusing the Cambridge people. But can you maybe talk about some of the cross-sell opportunities you talked about before, kind of selling the Comdata corporate products to Cambridge clients or Cambridge products to the Comdata customers?
Ronald F. Clarke - FleetCor Technologies, Inc.: Yeah. We actually literally had a call, a review yesterday on this subject, and we barely have formalized it and they've already made some deals. It was a quite fun call for me to hear that our thesis has taken shape before we've even officially launched the thing. But the plan there is the initial focus is going to be that the Comdata virtual card going to Cambridge, and the reason is 100% of Cambridge clients have domestic AP. So, every single client is a target. So, what they've done is we've taken the Cambridge U.S. base, prioritized it, took, I don't know, 400 or 500 of what we think are the best targets in terms of verticals and stuff, and are in the process of dedicating four or five people from our virtual card business to buddy up with the Cambridge people that have those relationships and press ahead and see what kind of reception we get as we get introduced. So, that thing is formally literally just getting liftoff today, but informally, they've already made some deals or a couple of deals in the legal vertical already where our people had gone in with the Cambridge legal account team and made a couple of sales. So, it's super early days but we're pretty optimistic about it. The other way, the reciprocal side, Jim, we're going to hold the horses on. There's less opportunity, obviously, going the other way because less of the Comdata base clients will have international payments to make, be a much smaller percent.
James Schneider - Goldman Sachs & Co. LLC: Understand. And then, quick clarification, if I could. You previously had talked about two European RFPs in the pipeline. Is the Russian deal that you just announced one of those two and do you still anticipate another one to fall in the next three, six months?
Ronald F. Clarke - FleetCor Technologies, Inc.: Yes, is the second part of the question. There were two. I hope I didn't say there were two in Europe. I said there were two that are active. One of them was in Europe, which we announced today. And the second one is somewhere else and it is active. And we've been told it's a Q1 decision.
James Schneider - Goldman Sachs & Co. LLC: Very helpful. Thanks.
Ronald F. Clarke - FleetCor Technologies, Inc.: Thanks, Jim.
Operator: Our next question comes from Oscar Turner of SunTrust Robinson Humphrey. Please proceed with your question.
Oscar Turner - SunTrust Robinson Humphrey, Inc.: Good afternoon. Thanks for taking my question. So, appreciate the insight into your growth opportunities. My question's on the Beyond Fuel program. How should we think about which of your clients this could apply to from a size or industry perspective? And then, to the extent you've tested it thus far, can you give any high level color on the amount of spend upside that can be realized?
Ronald F. Clarke - FleetCor Technologies, Inc.: Yeah. Oscar, it's Ron again. So again, I'd say it's pretty early days. We've tested it specifically against the construction industry, which is about a quarter of our U.S. client base. And so, we went out again starting in the beginning of this year with an offer to provide both a fuel card and a construction supplies card in one, and that's all you can buy on it. And we built about, oh, an $8 million run rate business in revenue from that initiative. It's about 50/50, about half of the spend in revenue is fuel and the other half are our other supplies. So, I'd say that our idea is, obviously, much, much broader than that. It's to look at lots of verticals and both small and large clients and figure out what adjacent spend, which would be interesting for them to put on this quote, one account with us, particularly spend that's the same employees, right, that are using our cards. So, we're working through those various kinds of positionings and importantly, credit dynamics to figure that out. But look, it's a whopper number, right? Fuel represents, if you carve out the trucking business, a small portion of our client spend generally. There's way more business spend in travel and purchasing and other kinds of areas. And so, I think it's just a function of how wide and how much adjacent spend we can get but it's a really significant upside if we can interest our clients in using our card for that.
Oscar Turner - SunTrust Robinson Humphrey, Inc.: Okay. Thanks for that color. And then, second question just on Walmart. How can we think about the yield on transactions at Walmart versus the rest of your fleet business? And then, I'd assume the volume pickup there would more than offset any lower pricing?
Ronald F. Clarke - FleetCor Technologies, Inc.: When you say on the first part, are you talking about the acceptance where Walmart would accept our commercial cards or you're saying on their...
Oscar Turner - SunTrust Robinson Humphrey, Inc.: Yes, the acceptance part.
Ronald F. Clarke - FleetCor Technologies, Inc.: Okay. Yeah. So, I guess a good way to think about that is, yes, we've obviously reached a deal, a merchant discount deal with Walmart at their locations. I think the reason it can work is that their pricing tends to be quite competitive, quite attractive. And so, we think that, one, we'll get some incremental lift from accounts that we have, and two, maybe we'll sign up some accounts in the regions where they've got good positions. So in the modeling that we've done, despite maybe having a bit narrower deal with them and some other merchants, we think it'll generate incremental economics for us.
Oscar Turner - SunTrust Robinson Humphrey, Inc.: Okay. Thank you.
Operator: Ladies and gentlemen, we have reached the end of our question-and-answer session. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.